Operator: Good morning. My name is Charlie, and I'll be your conference operator today. At this time, I would like to welcome everyone to the conference call regarding Stelco's Third Quarter Results for 2021. [Operator Instructions]. Thank you. Mr. Harris, you may begin your conference.
Trevor Harris: Good morning. Before we begin today's call, we would like to acknowledge that today is Remembrance Day in Canada and Veterans Day in the United States. We, at Stelco, would like to express our most sincere appreciation for those who have served and continue to serve both countries. In particular, our deepest respect goes to those who sacrificed their lives in service to their country and their pursuit of freedom around the world. Thank you.  I would now like to welcome everyone to Stelco's quarterly earnings call. Speaking on the call today to discuss our third quarter results for 2021 will be Alan Kestenbaum, our Executive Chairman and Chief Executive Officer; and Paul Scherzer, our Chief Financial Officer.  Yesterday, after the market closed, we issued a press release overviewing Stelco's financial results for the third quarter of 2021. This press release, along with the company's financial statements and management's discussion and analysis, have been posted on SEDAR and on our Investor Relations website at investors.stelco.com. We have provided a link to the presentation referenced on today's call on our website as well.  I'd like to inform everyone that comments made on today's call may contain forward-looking statements, which involve assumptions, which have inherent risks and uncertainties. Actual results may differ materially from the statements made today, so do not place undue reliance upon them. Stelco management disclaims any obligation to update forward-looking statements, except as required by law.  With that in mind, I would ask everyone on today's call to read the legal disclaimers on Page 2 of the accompanying earnings presentation and also refer to the risks and assumptions outlined in Stelco's public disclosures, in particular, the third quarter 2021 Management's Discussion and Analysis section relating to forward-looking information and risks and uncertainties as well as our filings with Securities Commissions in Canada.  The appendix of our presentation and the non-IFRS performance measures and review of non-IFRS measures of our MD&A provide definitions and reconciliations of the non-IFRS measures that we use today. Please also note that all dollar figures referred to in today's call will be in Canadian dollars, unless otherwise noted. Following today's prepared remarks, Alan and Paul will be taking questions. [Operator Instructions]. With that, I would like to turn the call over to Alan.
Alan Kestenbaum: Thank you, Trevor, and good morning, everyone. I'm thrilled to be in a position to talk to you all this morning about Stelco's record-setting third quarter. We have continued to take advantage of the favorable pricing in the market and our industry-leading low-cost structure to deliver outstanding and tangible results for our business and our shareholders.  By utilizing our tactical flexibility model, we are able to meet the dynamic demands of our customers and increase our shipments quarter-over-quarter by 5%. As a result of the hard work of our employees and the focus of our management team to drive revenue from those sales through to the bottom line, we were able to generate $787 million in adjusted EBITDA during the quarter, which translates into an unprecedented and industry leading by far 58% adjusted EBITDA margin.  Furthermore, we converted approximately 80% of our EBITDA into net income this quarter and 86% of our EBITDA into net income over the past 9 months, while continuing to build our cash balance.  I am extremely proud of these results as they demonstrate not only the strength of our business, but also the capability of our team to deliver upon our commitments to shareholders. We previously said that our $700 million in strategic investments would generate results through the modernization of our assets by diversifying our product capabilities and by lowering our costs, and we delivered. Going forward, we expect to see an additional boost from the restart of our upgraded Lake Erie Works coke battery and the commissioning of our 65-megawatt cogeneration facility that will lower our electricity costs and improve our carbon footprint.  Perhaps most impressively, we have made these investments utilizing internally generated cash and kept our balance sheet free of long-term debt that binds the hands of so many businesses. We have invested more than $700 million into our business and have returned to shareholders almost $800 million for a total approaching $1.5 billion since we acquired this business just 4 years ago all out of free cash flow and most of that before realizing the benefits of the reduced costs from the aforementioned investments.  And now continuing with the focus on returning cash to our shareholders, we are announcing a 50% increase to our dividend this quarter. This represents a 3% yield on our current share price. And when paid in a couple of weeks, we'll bring the total cash return to our shareholders up to $454 million in this year alone, out of the total of the almost $800 million returned so far.  For comparison, that's almost 3.5x what we raised in our IPO just 4 years ago, which was the only time we ever raised equity or any capital in the public or private markets.  We have worked tirelessly over the last 4 years to build a differentiated business that is capable of generating cash and returning value to our shareholders at every stage of the market cycle. Our investments in new technology to diversify our product base and improve the overall efficiency of our business through the adoption of new digital technologies such as AI are now paying dividends, not only towards our bottom line, but also to our shareholders.  Our record results are more than just steel prices. Our entire team from senior management right down to every employee in our mills understands the need to maintain our industry-leading low-cost structure. We are intently focused on measures to keep our costs low and the results speak for themselves.  In a market with heightened costs for scrap and inflation rates for electricity and energy well into the double digits during the quarter, we only saw an implied average cost increase by roughly 1.5% over the prior quarter. We have built our business on a strong foundation and made strategic decisions to help insulate our business from the full impact of rising material costs. As a result, our implied average cost across all products as seen on Page 4 of our earnings presentation remains lower than the prevailing market price for scrap which is just one of the inputs faced by our electric arc furnace competitors.  With our electricity cogeneration facility on track for completion in 2022, we will become even more cost competitive, and partially sheltered from rising electricity prices, which will further our competitive advantage compared to other steelmakers in North America, an investment originally expected to save us $18 million per annum will be multiples of that as skyrocketing electricity demand over the coming years should result in higher costs and less reliability for others.  Of course, we will not rest on these record results. While the market remains strong, we will continue to take advantage of the strength of our business to meet customer demand and further improve our cash position.  We will continue to be relentless in managing our costs and ensuring our industry-leading position is not compromised, and we will continue to deliver on our commitments and return value to our shareholders. Looking forward, our key end markets remain strong, and we are seeing signs and forming the view that 2022 could be even stronger. Examples of these signs are scrap prices that continue to be well above historical averages and rising further. The gradual debottlenecking of auto production to meet true demand as the chip shortage begins to abate. Recent increases in oil and gas drilling and the depletion of existing pipe inventory that previously had been depressing demand from energy pipe producers; continued strength in construction markets; the impact of the rolling out of the recently approved U.S. administration's $1 trillion infrastructure bill as well as recently declining inventory throughout the supply chain as some buyers awaited lower prices.  This is an exciting time for our business as we are truly seeing the results of our hard work over the past 4 years. We are also recognizing the opportunity that future holds as we complete our strategic capital plan -- as we -- sorry, as we complete our strategic capital plan and continue to implement investor-friendly smart capital allocation moves and further establish ourselves as a low-cost producer with significant upside potential for investors.  With that, I would ask Paul to provide some additional comments regarding our historic financial performance over the quarter.
Paul Scherzer: Thanks, Alan, and good morning, everyone. The third quarter was a continuation of what has been an exceptional year of financial performance for our business. As Alan noted, everyone at Stelco has been focused on taking advantage of our low-cost position and ensuring that most of the growth in our revenue flows through to the bottom line. As a result, I'm excited that we were able to report record results by almost every financial measure.  Once again, this quarter, we saw a significant increase in our average selling price, up 40% over the previous quarter, and we took full advantage of this opportunity by converting those sales into $787 million of adjusted EBITDA and $614 million of net income, representing improvements of 92% and 69% over the second quarter, respectively. This rate of conversion is second to none in the North American industry.  In fact, our 58% adjusted EBITDA margin is almost double the average of our reporting peer companies. Of course, the almost $3 billion in revenue that has been generated in the first 3 months of the year is in large part a result of escalating prices throughout the year. However, our ability to drive higher shipment volume through our tactical flexibility model and convert that revenue to EBITDA and in turn to net income is testament to the dedication of our team to drive down costs and is evidence of the success of our strategic investments.  Proof of this can be seen in our implied average cost, which has remained relatively constant throughout the year in the face of significant inflation throughout many sectors of the economy.  During the quarter, we returned $413 million to our shareholders through dividends and a major share repurchase while continuing to fund our strategic capital plan with internally generated funds. At the same time, we were able to complete the third quarter with a cash balance of $410 million, a balance that continues to grow.  In recognition of this exceptional performance and in keeping with management's strong alignment with our shareholders, we are able to raise the quarterly dividend for the second consecutive quarter. The new quarterly dividend of $0.30 per share is triple of what we paid in the first quarter of this year.  In addition to our available cash balance, we continue to maintain an undrawn revolving credit facility with $224 million of availability at the end of the third quarter, which affords us substantial liquidity and financial flexibility. As a result, we are well positioned to fund the final portions of our strategic capital with internally generated cash while maintaining the ability to explore and evaluate various capital allocation alternatives.  During the quarter, we continued to be rewarded with the full benefit of our blast furnace upgrade project and the increased production rates combined with our tactical flexibility allowed us to increase shipments by 5% over the last quarter to 710,000 tons, a level that has not been achieved since the second quarter of 2018. We are certainly pleased with these results and our ability to capitalize on market opportunities, customer demand. We anticipate continued strong performance in the fourth quarter, with volumes in line with the quarterly levels we experienced in the first half of this year.  Our record third quarter was largely a continuation of the success we achieved during the first half of the year. We were able to recognize the opportunities that were presented to us and take advantage of market demand and favorable pricing to deliver industry-leading margins and strong returns for our shareholders. As we work through the final quarter of 2021, we will stay focused on maintaining our industry-leading cost position and look to leverage our position to maximize the conversion of revenue to EBITDA and net income. This approach has always been at the core of our strategy, and we'll continue to serve our business and our shareholders well regardless of what direction the market turns.  I remain confident in our approach and expect our diligence and hard work will continue to deliver successful outcomes.  Thank you for taking the time to join our call.
Trevor Harris: Thank you, Alan and Paul. That concludes our prepared remarks for today. And now I would like to turn the call back over to the operator for Q&A. Operator?
Operator: [Operator Instructions]. Our first question comes from David Gagliano from BMO Capital Markets.
David Gagliano: Congratulations on the impressive quarter. My first question is really just on near-term pricing and the relationship between lead times that have been coming down. If we go through the math, at least on our side, a 6-week kind of ish -- 6-week lagged price would imply, I think, USD 170 quarter-over-quarter increase in fourth quarter realized prices for hot-rolled coil. Is that a reasonable starting point for the fourth quarter pricing bridge versus the third quarter reported realized price?
Paul Scherzer: Yes. David, it's Paul speaking. I think when you look at our average prices quarter-over-quarter, last quarter, we actually beat the increase in CRU on an average basis and also looking at it on an FX-adjusted basis, up 40% on a realized price whereas Canadian dollar CRU was up only 27%. So I think we had a little bit of catch up last quarter. We will not see as big an increase this quarter and will be more in line, I think, with something returning normal maybe averaging over the quarter is the right way to think about it.
David Gagliano: Okay. That's helpful. And then just switching gears a little bit, capital allocation. I guess, the obvious question, right? Free cash flow generation, $500 million plus in the third quarter alone, raised your dividend 50%, which is great. It works out to about a $90 million outflow or less than 20% 1 quarter's free cash flow. And it sounds like a similar level, if not higher free cash flow in the fourth quarter. So obviously, a big pile of cash. What are the plans for the remaining pile that continues to build?
Alan Kestenbaum: Yes. I mean I think you should look us continuing to do capital allocation similar to what we've been doing, which is paying very nice dividends, currently about 3% of the -- 3% yield. So continuing of that policy, continuing of returning cash to shareholders through share buybacks. Last quarter, we did about $400 million worth of share buyback, so you can expect to continue to see that.  And also, let's not lose sight of the fact that we've gotten the results that we have because we -- very, very -- in a very good strategic way invested $700 million back into our business. I'm not suggesting we're going to take all that cash. And of course, we have finished our major capital plan in terms of capital investment, but I think we definitely want to keep some cash around to be able to take advantage of opportunities and continue to improve the business and grow the business even further. So we will stay consistent with that, it's dividend, share buybacks and smart investments.
David Gagliano: Okay. And then just my last question, just on margins. You spent time flagging cost improvements and high EBITDA margin, which are basically 3x most of the competitors currently. I think some of that is explained by high -- all-time high sheet spot prices and the fact that Stelco is a pure play on sheet prices whereas the peers are either mix of sheet and relatively lower margin long products or a mix of spot versus lagged contracts. But nevertheless, it is an impressive gap. And I also think the -- some of this is attributable to the productivity gains, for example, the blast furnace reline and other improvements.  So my question is, can you comment on how you think Stelco's margins will hold in as we head into 2022, if we assume, for example, the forward curve is a reasonable representation of the market? Can you comment on how Stelco's margin will hold considering things like incremental cost headwinds such as back home and things like that?
Alan Kestenbaum: Yes. No. I mean thanks for pointing that out. We look at the margins also. And as you correctly pointed out, it's not just slightly higher than the rest of the industry. It's much higher. And we really attribute that really to the fact that we have plowed a lot of money into incredibly smart investments. And the rest of it -- some of it is out of our control, as you pointed out. I mean, the market has been healthy, but that movie is the same for everybody.  So we consider everybody in the same boat when it comes to the market that we face. And so the differentiator comes on lean mean management team, and I don't mean in a negative sense, but in a positive sense, determined team that is culturally something our COO literally chases every single dollar at all times no matter what the revenue increase is. So I think a very thin management team, a very focused management team and dollars directed at very good strategic cutting-edge technologies and the fact that the furnaces and the rolling mill is reliable and up to date, That has really brought us to this place, I feel, I see it in the reliability of the numbers. I get weekly reports from our COO about how the mills and the furnaces are. If you just look at the raw tonnage for instance, I mean that has gone up. You can see the production going up, and there's more to do. There's more coming.  So I think that part of the difference is in that. And then it's kind of odd, right? I mean other companies have a lot more scale. I guess maybe having less scale and more focused management on a particular set of assets works from a margin perspective.
Operator: Our next question comes from David Ocampo of Cormac Securities.
David Ocampo: Sticking with kind of the theme of costs, I know you guys have a labor agreement that's up for renewal in 2022 and we've seen a lot of wage inflation across the board, not just in steel but other industries as well. So as we head into 2022 and even 2023, are you guys still able to defend your cost position in light of inflation that could be potentially coming up?
Paul Scherzer: Look, I mean, labor is something that comes up every several years. We -- it's -- we're a highly automated business. That's not to underestimate the costs involved with that, but we're a highly automated business, very, very efficient on a tons per employee basis.  So as we -- those discussions come along, we're going to be looking forward to having them, our attitude towards labor, and this is something that I've talked about very, very often as a principal core value of the company is that we look forward to giving more to our workers. And our workers deserve more, and we want to share with them in an appropriate way. And so because labor is not a major part of the cost structure, we're looking forward to those conversations.  So we're not a business like a restaurant that has 50% of its cost in labor or more or a lot of other businesses like that. We're a highly automated industrial facility. So the labor discussions in terms of their impact on cost, the big drivers are the things we do have under control, including raw materials, utility costs, things like that. Those are the things that really move the needle on costs.  And one of the things that we've really enjoyed here is a tremendously productive, good and friendly relationship with the workers, and we intend to carry that attitude in our discussions with them as well.
David Ocampo: No, that's helpful. And then in your prepared remarks, you seem like you're pretty bullish on the price of steel and you guys are unhedged still heading into 2022. What are your thoughts on hedging going forward?
Paul Scherzer: Look, our strategy -- we get this question quarterly and one of the issues with the hedging is that if you look at the hedging tool itself, it's been in a very, very severe backwardation. And if you look at the performance and the prices that we've got compared to every quarters forward curve, we did better than by not hedging. And that remains in place.  If you look at the forward curve for next year, it's a lot lower than the current market. We have our views on the market. I expressed some of them in our prepared remarks. It's the kind of business when things look like they're going down, people are reluctant to buy. And that typically is the beginning of a reversal. So I listed in my remarks the various things that we see as positive headwinds, I'd tell you, positive tailwinds. I really don't see many headwinds at all. So for that reason, we will not be hedging.
Operator: Our next question comes from Alex Jackson of RBC Capital Markets.
Alexander Jackson: I was curious, is there an obvious area to make further investments in at your assets? Or do you feel like you have to kind of look outside your assets for future investments?
Alan Kestenbaum: There are some areas inside the company that still would help us improve our performance inside the company. They're not major. So I don't want to give you the impression that we're going to start another capital campaign like we had started 2 or 3 years ago. So -- but there are some modest investments that can still continue to improve our performance within the company.  As it relates to things that we could do outside the company, I -- what can I say? I mean, things that we do have to be accretive. If you look at the multiple that we trade at right now, it does not really give us a lot of opportunity to, from an accretion standpoint, exercise an M&A transaction. So for example, we're now trading at point -- on an annualized basis of this last quarter, 0.8x EBITDA, that's less -- literally less -- if you take the cash balance that we've disclosed today in the earnings and cash continues to build, obviously, but just the ones that we've put out there today, you get to less than 1 turn of EBITDA.  So you try and take that and say, well, what can we do that's accretive? The answer is not much. Moreover, I think it's very, very important for us to focus on keeping our cost structure low, which means when you're -- we believe that we're ahead of the pack on costs, why buy something with cost, everyone is good. That's also not accretive.  So definitely buying things become difficult. Having said that, we see things opportunities that are a little bit outside in terms of a little bit more futuristic. Some of them we've talked about on battery metals, integration more with our auto customers, these are areas that we're looking at and stay tuned as we continue to pursue that plan.  And the other thing is we look at ourselves really uniquely opportunistically positioned. We're literally facing, and I don't know if people really appreciate this, but we're literally facing a redo of the industrial revolution. It's ahead of us. We have now in the next 20 or 30 years is going to be a period of time where everything we use and how we make everything we use has to change to meet the decarbonization goals that the world has set forward by 2050. To offset means this tremendous opportunity.  Our goal is to figure out a way to keep our cost structure low and achieve these decarbonization results. There are a lot of partnerships. There's a lot of work we can do in investments there that have very, very rapid paybacks. We're very focused on paybacks to our company, paybacks to our shareholders, but also things that can give us a technological advantage in edge, which we think we already maintained and already demonstrated improvement just based on our cost, but then we want to take the same type of effort and creativity and technological focus and try and moving into that area.  And I think if we think we can achieve that over the coming years, we can really, really be in a position to have a demonstrable and demonstratable advantage as we go out and do M&A deals and try and fund well-positioned assets that perhaps don't have the capability and know-how and how to get there. That's kind of the way we're looking at things right now. It's very futuristic. I know it's a vague answer. There's no dollars attached to it. You can be sure that with the management team that sits with you guys. We own 15% of the shares in this company. We're not going to waste money on projects that are outside of our lane. But we see a phenomenal opportunity, and we think focusing our efforts on what we have in building for the future is going to really help us build this company and make a lot more money over the coming years.  In the meantime, we've got this wonderful company, generating a ton of cash, and it's great to be able to have that -- luxury of that while you're trying to plan for the future.
Alexander Jackson: That's very helpful. I guess just as a follow-up, are you guys -- is management allocating a lot of time to looking at these potential investments? Or is it really just a focus on the current operations at the moment?
Alan Kestenbaum: No, we are definitely focusing a lot of time on both areas. We've got an incredible management team that's really well designed, and we have the ability to do both. We run the operations. So again, the numbers speak for themselves. And we also have a deep team. I personally spend a lot of time on looking at growth of the business in the way I've talked about. And we really have that luxury of a well-oiled running machine and the flexibility of time and contact and vision and ambition to try and achieve these other areas of growth.
Operator: [Operator Instructions]. Our next question comes from Tristan Gresser of Exane BNP Paribas.
Tristan Gresser: The first one on volumes. How did you manage to get higher volumes in Q3? And is that a potential run rate on seasonally strong quarters? What about the mix as well moving forward? I noticed HSE being a bit bigger portion of the mix in Q3, was that just temporary? If you could talk a little bit about what happened in Q4 and Q3, that would be helpful.
Alan Kestenbaum: It's really as simple as we just made more. We don't have a problem. We've never had a problem selling out. Even during the worst of COVID, when almost every other company had to shut production down, we've always been producing full out. So we never had a problem selling. Our challenges and our concentration has been on output just simply we just produce more stuff.  In terms of the moving around of the product mix, I just take everyone back to what we told everyone 4 years ago, tactical flexibility. It's kind of surprised the term hasn't caught on more across the rest of the industry, but it clearly works. And what that means is we move where the profits are. So we have -- certainly, our baseload of business, but most of our business and the shift you see is we follow profits. That's what drives our business.
Tristan Gresser: All right. That's very clear. And maybe a follow-up on that. Can you remind us, at the moment, what is your annual fixed price contract exposure? I know it's quite limited, and I know you see the forward curve as being too pessimistic. But has there been any willingness to lock in maybe longer-term orders, given the expectation of the markets on what steel prices could do in the next 6 to 12 months?
Alan Kestenbaum: Yes. I mean we're in negotiations right now. I don't think it would be appropriate for me to divulge publicly our sales strategy. But as you correctly said, we've got a mix of contract business, more spot-oriented business, actually very little spot, it is generally repeating business that has prices discussed on a quarterly basis. But I think at this stage, as we're in sensitive discussions for next year, it probably wouldn't be a good idea for me to comment on that.
Tristan Gresser: Maybe then a last question on the coke battery. I think initially, the CapEx associated was guided for $130 million, if I'm correct, I think it was increased to $183 million. What drove the increase? And also more generally, what are the implications for this year CapEx and next year CapEx? How we should think about it?
Alan Kestenbaum: Yes, CapEx is going to drop. As we mentioned, we anticipated normative CapEx to be in the $80 million to $90 million range. So that's that. But we're always looking for new projects, growth projects, and there might be some growth projects as well that we're evaluating that have payback periods of some -- generally less than 3 years. Well, not generally, that's our cutoff. Anything more than 3 years, we don't do. So we're looking at a few other relatively minor projects. So CapEx, as we've told the market for a long time, is going to drop significantly going forward.
Operator: At this current stage, we have no further questions. This brings the call to an end. Thank you for joining. You may now disconnect your lines, and have a lovely day.